Operator: Good morning, and welcome to TravelCenters of America Fourth Quarter 2020 Financial Results Conference Call. All participants will be in a listen-only mode.  After today’s presentation, there will be an opportunity to ask questions.  Please note this event is being recorded. I’d now like to turn the conference over to Kristin Brown, Director of Investor Relations. Please go ahead, ma’am.
Kristin Brown: Thank you. Good morning, everyone. We will begin today's call with remarks from TA's Chief Executive Officer, Jon Pertchik, followed by Chief Financial Officer, Peter Crage; and President, Barry Richards for our analyst Q&A.
Jonathan Pertchik: Thanks, Kristin. Good morning, everyone, and thank you for joining us and for your continued interest in TA. I'm pleased to report that despite the continuing challenges to demand, operations and management imposed by COVID-19 and a reduction in overall revenue by 15.5% in Q4 2020 compared to Q4 2019, we report the following improvements. A 29% improvement in adjusted net loss, a 36% increase in adjusted EBITDA, and a nearly 10% increase in adjusted EBITDAR a key metric in measuring our results. These results represent a continuation of the positive results we delivered in Q2 and Q3. After my first year of tenure, I believe it is fair to say that we are well on our way to transforming TA and yet we are really just beginning.
Peter Crage: Thank you, Jon, and good morning, everyone. As Jon mentioned, we are very pleased with our results for the fourth quarter, as well as the full-year, particularly given the ongoing challenges presented by the pandemic. In my remarks, I'll be referring to the fourth quarter of 2020 as compared to the fourth quarter of 2019, unless stated otherwise.
Operator: Thank you. We will now begin the question-and-answer session.  And the first question will come from Bryan Maher with B. Riley. Please go ahead.
Bryan Maher: Good morning, Jonathan and Peter, and thanks for all of that detail. Couple of questions that have jumped out to me and in inbound calls from some investors relate to the size of the liquidity position you've built, which between the cash and the facilities kind of easily $500 million to $600 million. Even assuming you spend $175 million to $200 million this year, why so much liquidity? I think have been in the company for 13 years and never had anything close to that.
Jonathan Pertchik: Thanks, Bryan. Thanks for the question and good to connect this morning with you. And I appreciate the questions. We get asked that a fair amount. My first day at the company a year and a half ago, we had $17 million in cash. We ended the year with $0.5 billion in the net realm. There's multiple points here. And I look back on previous experiences I've had, including my last company, where we invested at that company and refreshing our assets to bring them up to snuff. We need to do that here to sort of express our brand more effectively. A lot of the transformation we are undertaking. Process oriented, people oriented need to happen along with an asset base that's more attractive, functions better. IT doesn't go down frequently. And we can talk all day about creating goodwill through customer service. And if somebody puts their credit card in and can't pay because the IT is down, that's a real problem. With 238 assets, there's a lot to spread and there's a tremendous amount of opportunity. We have not to mention some M&A opportunity that I'm really – we've been thinking a lot and hard about in a range of areas from additional – not just growing through franchise, but also potentially growing by now that we have the balance sheet by potentially growing our footprint through owned locations. There maybe some opportunities out there to pick up some regional players. There maybe opportunities in sort of the realm of technology, I mean to actually have a stake in a technology or technologies that support, for example, the service business, as well as our C-store or other parts of our businesses. And so this puts us in a position to really drive growth. And there is a tremendous amount of opportunity out there to improve our assets and get at least to 15% to 20% cash on cash returns. And beyond that, as a sort of an exit ramp, if we chose to, if we determined we have too much liquidity, we can pay off our baby bonds at which are – a little more costly than the debt itself. So there's an exit ramp there. So it gives us a fortress of the balance sheet. Number one, safety. Number two, it gives us the ability to grow fairly carefully, but aggressively, and three, if we determined we have too much liquidity, at some point we have an exit ramp that's slightly, but nonetheless favorable to what we have today. So those are sort of the three primary purposes behind our balance sheet and our liquidity and where it stands today. And hopefully that makes sense to folks, certainly does to me.
Bryan Maher: Yes. To be clear, though, if you do some M&A, would it be aside from tech or whatever else you're talking about, it would not be C-stores and it would be travel centers. I mean, I don't think any of the investor group wants to go down to the C-store debacle again.
Jonathan Pertchik: So again, I appreciate that very much, Bryan. As you know, with the QSL point, that was determined by us as non-strategic. I know the history was with the C-store world and Mini Mart world. I've tried to emphasize in my comments, we are going to invest in our asset base. And obviously, that can be interpreted in a lot of different ways, but I'm very committed to staying focused on what we do and what we do well and what we don't do well to not stay focused on it. In the same way, we've imposed a new cost discipline or imposing a discipline like that with respect to where we take the company in terms of growth.
Bryan Maher: Okay. One more for me and then I'll hop back in the queue. When it comes to the full service restaurants, the one third that are still closed, is the plan to keep them closed until you've established a plan that reopening those particular restaurants would be profitable as opposed to what I believe you determined when you initially shut those down in the second quarter last year. I think you ultimately found there was a large slug of full service restaurants that were unprofitable. So will they be kept closed until there's a plan in place that they will run at a profit?
Jonathan Pertchik: So right now, we have been opening restaurants not just when we're literally legally permitted to for opening them also as we believe they're not going to be a burden to the company or a negative. So we open them already in that way. That’s the approach we've taken. And we have a really tremendous new team within the entire hospitality group led by a gentleman, named Kevin Kelly, who have some history with Peter many years ago who really gets this point. And I know I drive him a little crazy on this point you're asking about because I'm very, very focused on. I'm proud of the changes we've made on the cost discipline side, and we're not going to go backwards. And that is a collective conscience. That's just not my view, that's the team's view. So we're only reopening as it stands today. When we believe we can operate that particular location based on the demand at that location under our approach of operating with a more limited menu, a very different sort of approach to labor and how we manage labor and much more intensely focused cost discipline. So that's already happening today as we've reopened restaurants. That doesn't mean to suggest there's not a lot of opportunity to continue to improve and we've mentioned a few of those ways already I think just in our introductory comments. And there are a number of other things we're working on as well from not only IHOP brand, but potentially other brands. We've already changed the menu around significantly and reduced items, which in turn reducing menu items, just that one change that simple change ripples through how these restaurants function, the amount of labor you need to prep the breakage, the loss of having items that aren't selling particularly well. So we have a range of other things we're doing, but your basic question where we are only opening as and when we believe not only is  able to, but when we believe we can operate efficiently and effectively. And I think that's why we're seeing – in some part why we're seeing results in that otherwise historically very inefficient part of our business.
Bryan Maher: Great. Thanks. I'll hop back in the queue. Thank you.
Jonathan Pertchik: Thanks, Bryan.
Operator: The next question will come from Ari Klein with BMO Capital Markets. Please go ahead.
Ari Klein: Thank you, and good morning. Maybe just a follow-up on the balance sheet question. As far as CapEx spending is concerned, is that – is this what we're seeing in 2021? Is that the sustainable rate going forward? Is it a one-year spike? How should we think about that maybe longer term?
Jonathan Pertchik: No. It’s a great question, Ari, and thanks for that, and good to connect this morning as well. That will not be sort of a normal run rate for us going forward. If you were to sort of unpack it, I mean, we have a view on what our sort of standard remedial kind of break fix baseline CapEx is. And then a reasonable amount of growth on top of that would be a fraction of the number that we've put out there that $175 million to $200 million. We're going through a window right now, where there's some cleanup and catch-up and some really deep retooling. Now if we do find some bolt-on M&A opportunities, for example, other travel centers, and if that world would have really opened up a little for us, and it may for a few reasons what we're exploring that now. We may have other M&A opportunities in the future that we would dedicate capital to, but again, that's – as we're proving out, at least 15% to 20% cash on cash. But I don't expect that $175 million to $200 million to be kind of a standard steady state far from it. It's a multiple on what that will be.
Ari Klein: Got it. And then on the fuel volumes, how sustainable are the growth trends you're seeing? Is there any way to quantify how much of the increase is from some of the new accounts? And then maybe if you could just touch on – I was just going to ask about the margin on the fuel side. What kind of gets that volatility back into the market to the point where we can see margins start to increase again?
Jonathan Pertchik: So on the fuel volume side, we've been growing pretty effectively – most – I wouldn't say all, but almost all of our growth has been with our big fleet customers. We have a tremendous opportunity on the street side, meaning small fleets and independents who just pull up to the pump, so to speak. I think we've done a poor job of really exploring that effectively. And there is a big opportunity. So I'm hopeful and optimistic that much of our future growth and not just future next year or year after. I mean, near-term, like we're very focused on it. We’ll be in that area. And I know we also have more opportunity to grow with our aggregator base. So I mean, I'm not going to say that 18 – 16%, 18%. 16% diesel is sustainable year-over-year, I mean that compounds to a mathematically impossible place eventually. But on the other hand, I do think there's significant growth opportunity for us, very significant. And it's a matter of focus. In terms of margin, I mean, we've continued to see headwinds through this first part of this first quarter. I'm hopeful that everybody appreciates. Despite COVID and the  diesel margin headwinds at the last part of the last quarter, we still beat 19% in all important metrics and so I'm hopeful that folks appreciate that with an entirely different leadership team. It's not about me. It's about a very big team. Now we recast it and different choices being made every single day. We can manage our way through any challenge that's going to come ahead. And so it's hard to know past a quarter or two, what margins will be like. There is a lot of variables that play into that from political macroeconomic, I mean, to rattle on a whole range of things. But like every business has market volatility, which is something you don't control. But we are very focused on all the leavers we have and we have a lot of levers to pull big ones and small ones that were just really unearthing over this past, even the past month, month and a half  a range of things that we're really digging in too hard and giving ourselves visibility on what all those small and medium sized levers are that historically the company didn't have the way we use data and the way we sort of approach everything and including CPG. We didn't really dig many layers down to almost, I don't mean this literally, but to the molecular level, really down to the base and then understand what all of those levers are and we've been in the process of doing that now for some time across the company and in particular on the margin side. So I'm not sure what the market will do in a few quarters from now. I don't know that anybody does that. In fact, frankly, five people may have five different views on that. But what I do know and what I'm very confident, and I think we prove in this past quarter in this past year is that whatever comes along with global pandemic, market volatility, we're going to manage our way effectively through it. And so those are some thoughts.
Ari Klein: Okay. And then last question, if I can. Just on the QSL sale, maybe I missed it. But can you just highlight what the financial impact is to revenue, EBITDA and expense? Any detail that would be appreciated.
Jonathan Pertchik: Sure. I may turn to Peter. I mean, as you know the headline it’s just a $5 million disposition, that's a gross minus or standard transaction-related DDoS, let’s just say. My standpoint again, I'm going to ask Peter to chime in here in a second. This was more about – I want to put this in quotes, but it's sort of a – it's not strategic. These assets or this asset base has nothing to do with what we do fundamentally. And so in that sense it’s been more of, I'd say, a distraction than necessarily a major economic drag. I mean through COVID, it has certainly been a bit of a drag, an economic or financial drag. But from my standpoint, again, I'm going to ask Peter for the numbers or not numbers, but for maybe a more financial response here. But conceptually, this was more about divesting an asset base that's not in our asset base. If that makes us a little redundant there – the asset base. But if you follow the point going forward is we will only invest in our asset base and we won't be buying standalone restaurants or things that do not sort of go to the core of what we do. And that just will allow us to focus every bit of energy and resource we have on the things that matter to drive shareholder value and not find ourselves distracted by things that don't contribute or not accretive to the broader, greater business just say. But Peter, anything to add to that?
Peter Crage: Yes. Sure. The impact is de minimis, will be de minimis on our operating results. And given the trajectory, as Jon pointed out, because it's non-strategic, given the trajectory and performance of that business, it was a good deal. So I think that's the best way to think about it. But the impact will be just de minimis around here.
Ari Klein: All right. Thank you.
Jonathan Pertchik: Thanks, Ari. Appreciate the questions.
Operator: The next question will come from Paul Lejuez with Citigroup. Please go ahead.
Paul Lejuez: Hey, guys. Thanks. I just want to go back to the fuel margin question a bit. Obviously, the volatility, something maybe you can't control. But I'm curious where you feel you are in the process of implementing the better fuel buying practices that you set out to improve. What inning are we in there? And is there any way to quantify the benefit, right? It might be getting masked now by the lack of volatility, but is there a way to quantify the benefits? That's number one. And just the second question, just any help you can give us in terms of the future expense reduction potential, how we should be thinking about the SG&A line item as we move throughout 2021? Thanks.
Jonathan Pertchik: Great. Thanks. So first of all, what inning are we in on fuel purchasing and finding efficiencies. We had undertaken already and we reported this previously. I think, I even , in my remarks. In the middle of the quarter, we undertook – we did an RFP to purchase fuel using our scale, roughly 40% of our scale. And so that created some relative, it's obviously relative to the market moves beneath us, and this is sort of on top of relative improvement. It’s already started flowing through, let's say, at the end of the year. We're now in the process of – even larger scale RFP process to consolidate even more gallons. I'm hopeful we’ll reap even greater benefit. Again, that's relative. So there's that sort of headline of just sort of an RFP purchasing. But within that, beneath that, or alongside of that, there's a whole long list of things that we're working on. From our loyalty program to our pricing analytics, we just – really, it took a little while to get going, but we're using an outside company to help support our pricing decisions that relate to street, and street, as I mentioned, is the most lucrative, most profitable part of our business of our margins – fuel diesel margin business. And so we have a big opportunity there that just got started in the last month, month and a half. And even with that having gotten started, just – almost real-time in the last couple of weeks, we found some weaknesses in what – how that process is working. And so we've made some changes almost literally real-time, not literally while I've been on this phone, but in the last week and half – couple of weeks. So we're still in the early innings, I would say, and I'll stop there. There’s a long list of how we cancel loads. And there's a long list of small things as I mentioned. This is – while there were maybe one or two big levers, what I'm learning. And I think what we're seeing is this is really a game of many, many little levers, and part of this is unpacking all of the things that contribute to margin and understanding what they are and measuring them, and then pulling those levers and process change to attempt to achieve theoretical optimization. So in terms of innings, we're in the early innings, probably in the second, third innings, something like that for you to put a number out, but we're talking loosely . So we're in the early innings of that, I would say. And we have very significant opportunity. But that really is – maybe if there is a – such a thing is a singular priority, which there's not – accompany this complex, but that's right at the very tippy top. And in terms of – you mentioned SG&A opportunities. At corporate, I think we've more or less unearthed the opportunities and unlocked them as a mid-year last year and that'll perpetuate. And I don't expect we're going to find much more and we're not aggressive. We look every day, but we're not aggressively looking any further. But on the sort of field SG&A, we're in the middle of a body of work, and I know I've reported this before, and we have some outside professional help supporting us here, which allows us the ability not just to look internally to try to do better, but also allows us to benchmark index externally, which is very important. And we just don't have those resources inside to do that external benchmarking. And so this group has that benefit. So we're in the middle of that work right now. And as again, as we've talked before, that's $900 plus million of overall expense and so it's very significant. And so we're attacking it that way with the help of one group. And then on parallel, I would say, it's probably relevant to mention here, we have another group who's supporting our procurement efforts and how we find efficiencies in the process of procuring. I'm talking non-fuel here now separate from the conversation earlier about fuel. And our SVP of Procurement, a guy named, Jamie Hubbard who came to us half a year ago. The company we're using for help there. He had used at his previous company and at his previous company, there were many, many – many tens of millions they found. And from what he has shared with me, that company, what they committed to on the front end of that expectation setting at his previous experience with them, they did significantly better. So I'm really excited about the opportunities we have in sort of the overall field level SG&A and overall expense. We have tremendous opportunity down. We're also early to mid innings – well, we're in the mid innings of exploring it, early innings of actually letting it manifest, let's just say. But I really expect all the things we just talked about here in the last year – last question, we'll be seeing real fruit this year, and I think relatively early this year from these various initiatives and focal areas.
Paul Lejuez: Got it. Thank you, Jon.
Jonathan Pertchik: Thanks for the questions.
Operator:  Our next question will come from Jim Sullivan with BTIG. Please go ahead.
James Sullivan: Yes. Thanks. Jon, maybe just to take another swing at the adjusted fuel margin numbers and what we should be expecting, you've obviously talked about a number of initiatives to improve both the purchasing and the sales and the potential of improving the mix. But obviously in the fourth quarter, it fell short of most people's expectations. And I guess the question I have is, when we think about expectations, what investors should be looking for in 2021. From where you sit today, do you think your adjusted fuel margin is going to be above or below where it was in 2021?
Jonathan Pertchik: Hey, and by the way, nice to connect this morning, Jim. I'm reluctant to sort of offer anything year-over-year that's – boy, there's so much in front of us this year. And again, both politically, macro economically there's so many of those other factors that, boy, to throw out for a year. But I'll tell you the trend line we saw at the end of the year, we’re seeing currently, we've seen for the beginning of this year, and boy, we certainly plan for the worst as we just run the business. And that's just how we work on that. The team knows I'm always about, tell me the bad news first because that's what we can dig into and work on. And the good stuff is a quick high five; let’s focus on the negative just because that's what's fixable. So we're very, very focused on this, is that almost singular top, not singular, but top, top, top priority, and we're finding things almost real-time. And as I mentioned even in this last couple of weeks, opportunities to improve and change. But boy, I'm reluctant to offer up anything for the year, Jim. There's just so much here in front of us and so many factors out there we don't control. I know we're working on the right things. I know we're focused on the right areas and I'm hopeful that the results we had this past year from fuel and non-fuel through the pandemic, through the year-end headwinds are on the margin side that we're going to continue to manage through this year effectively and pull margin where we need to from non-fuel to the extent we need to boost, let's say, the fuel side.
James Sullivan: Okay. Fair enough. I know I put you on the spot with that question.
Jonathan Pertchik: Appreciate it, Jim.
James Sullivan: Yes. Turning over to the topic of CapEx. The ROI CapEx, if I can describe it that way that you've set out here being half of the total, presumably that includes the IHOP investments. And I guess the question I have is when you talk about this 15% to 20% hurdle and maybe this is something for Peter to weigh in on. How should we be thinking about the timing of achieving that hurdle? So would it be from investment or is this something that's going to take a couple of years to prove out after you invest the money, particularly in the M&A activity where you can – there's a going in yield and then there's presumably some post acquisition effort that would go into getting the number up to 15% to 20%. So how should we think about the timing of achieving that?
Jonathan Pertchik: Great. And again, fair and great question. I mean, from my step, I'm going to let Peter chime in behind me. It's a bit of a run rate perspective just over time. Some of the things we will invest in, for example, enhancements, not just remedial, but growth enhancements to our sites, there's a process there, a construction process much of which will not involve things like permitting, but nonetheless there's a process, so that burns time, frankly. M&A, depending on the nature of what it is we acquire. I know from my last company, we acquired – it’s a 135 hotel chain. When I got there, we acquired a four-pack and then a 50 pack. The 50 pack, the bigger one we bolted-on, and it started generating returns against different business, different set of assets we would be acquiring potentially. But we started seeing results almost immediately. Nonetheless, M&A takes time to find due diligence, close, et cetera. On the other end, we have things like we're adding biodiesel blending wherever we don't have it that we can have it, we're adding it. That's part of our plan. Similarly, with debt, where we sell diesel exhaust fluid at the retail store, in a box, you go buy it. We're now adding – in the process of adding that, everywhere we don't have it at the pump. The biodiesel blenders on average, again, in an order of magnitude, we spend $500,000, $600,000. Again, in some jurisdictions, it can be a lot more and parts of the country, other places a little bit less. But order of magnitude, in some locations, we will get a 100% return on that in the first year and other locations that'll be 25%. So some of these will be relatively quicker, some will be relatively longer. It's a bit of a mixed bag. But Peter, maybe anything to add on sort of the thought behind 15% to 20% and how you just maybe respond to supplement what I've said to Jim's question.
Peter Crage: Sure. Thanks, Jon. Hi, Jim. Yes. You've mentioned immediate and then two years. It's obviously not immediate, but it won't be as long as two years for a couple of reasons. Number one, we don't have a lot of cuts, when you think about, for example on IHOP. Right, you don't have customer acquisition, you'll have – it's not a greenfield, and you have a business that's operating. And when you introduce this new concept, it will take some time. It could take anywhere from a few months to a half a year to build that sort of critical mass. So the way I would think about other than the once Jon talked about, which might have immediate return. When we pencil it and we go through our analytics tape to verify that it's 15% to 20% that would be an annual, obviously an annual cash on cash return. But it may take a few months to – up to six or eight months to begin to build that return.
James Sullivan: Okay. And just to be clear, the total CapEx number that you've set out in the release, would that be inclusive or exclusive of M&A? Is M&A on top of that?
Jonathan Pertchik: So for now that we – that is our target range for all things, CapEx this year. If we find something opportunistically that is really, really beneficial, accretive and will generate great returns that may move that we're going to have to think really hard about that. And the good news is – and obviously we have to keep it in the context of the macroeconomic environment and COVID continuing, and what have you to make sure. I mean, we have this fortress balance sheet and we're not going to give that up or certainly not put the company in any kind of liquidity risk whatsoever, I mean, that's kind of baseline. But then beyond that, putting that aside, that safety net – that significant safety net also decide. If we find something opportunistically that's going to generate great returns and is again, strategic and accretive, we're going to have to really look hard at that. And then we'll – and so I'm just saying that, Jim, because obviously M&A is it's somewhat opportunistic. You don't sort of have great visibility on what may shake out. And so for now that's our target within that range. But if we find something really opportune, we're going to have to think really hard about that and then adjust and again, subject to always keeping that safety net, that cash, that liquidity at the right sort of baseline level to just keep ourselves in a secure position.
James Sullivan: Okay. And then final question for me on the SG&A line. And Peter, you talked a little bit about this in your prepared comments. But looking back at the time you put in place the efficiencies, you guys had talked about a $13 million annual savings. So that's $3 million plus per quarter. In Q4, sequentially, there was a pretty big uptick in the SG&A line. And I just wonder if you can kind of tell us what caused that? And looking forward when we think about a $13 million annual savings, should that be off of the $155 million run rate from 2019? Or what kind of base should we be using to kind of prove out the $13 million savings?
Peter Crage: Sure. Jon, do you want me to take that?
Jonathan Pertchik: Yes. Go ahead please, Peter. Yes. I'll piggyback here…
Peter Crage: Yes. There were a couple of items in the fourth quarter, Jim that moved that delta downward. We continue in the organization to do small restructurings and departments, and we had, you'll see in our earnings release $1.1 million in severance costs for a small restructuring that we did in November much smaller, much, much smaller than the restructuring in April, so that's $1.1 million. Also, on a non-cash basis, we award – we provide grant awards to employees and the accounting for that given the fact that our stock has done well, which is a good thing, increased the non-cash charge that we had to make for those awards to the tune of about $1.2 million. So when you take all of those combined or at that level of about $4 million for the quarter. And yes on SG&A, 2019 was the base year. Our plan is to maintain these cuts through 2021. I will mention one thing. I know, it's not a significant amount. In technology, if you remember earlier in the year, we’re charging off some bespoke projects that were built into CapEx, although as Jon has spoken many times on these calls about our philosophy with technologies that we're going to move to the cloud in many instances and go to best of breed. So there maybe some slight pressure on OpEx due to that change in philosophy and strategy. And I would just mention that in passing, but that – hopefully that answers to your questions.
James Sullivan: Yes. Okay. Thanks.
Jonathan Pertchik: Jim, I have to admit. Peter was ready for that. When I asked him the same questions, we’re starting to get results going out, why is it only 18, so – but there you have it.
James Sullivan: Okay. Very good. Thank you.
Jonathan Pertchik: Thanks, Jim.
Operator: The next question will come from Bryan Maher with B. Riley. Please go ahead.
Bryan Maher: Great. Thanks. So I have a follow-up question since nobody asked it yet on the call. But Jonathan, you kind of danced around the alternative energy uses that could come at your large sites throughout the country. Embedded in that would be possibly electric charging stations. And we do get this question from investors. And so I want to see if that's kind of high up on that list of alternative energy uses.
Jonathan Pertchik: So right now we're very – so thanks for that, Bryan. Thanks for that follow-up. I appreciate it. I think a lot of folks are interested in this subject as – are we an SMI. I spent a lot of time riding in hydrogen trucks and exploring electric trucks, actually seeing them and touching them as well as the equipment that's necessary to refuel them et cetera. So it's definitely very much front of mine. We're very, very close to bringing somebody on to lead this. And all without their leadership – and this will be somebody who really has a – both a reputation and experience that’s unbelievable. The candidates we've seen and I've interviewed six of them myself are just incredible, as good or better than all the candidates we've been seeing from different parts of the business. So I am extremely excited with what this individual will bring with them, whoever – once we finalize this and we're pretty close. So part of the answer is a cop-out just to say, I want this person to sort of own, have an opportunity quickly to get up to speed within our universe and kind of own ultimately the strategy and the execution. That's very important to me. That's a concept. That's just a basic business principle, it's important to me. But with that said, right now we're in pursuit, we've responded to an RFP in one place, where we've partnered up with a couple of different providers, including a charging company. We're looking at responding to another RFP in another state, where we'd have a similar kind of composition of our team, I think. And so I don't want to jump ahead to say, definitively we will have electric at different sites. It's hard to imagine we won't in the relatively near-term, but I don't want to commit to that just yet. I am under the belief that for the heaviest duty trucks, Class 7 and 8 for true long-haul, I think over time, hydrogen is going to win that day. Again, I think that's a little bit out there. If you read some of the literature out there, I mean, there's not a material impact to diesel volume from hydrogen until we get to 2030. And even then it's – according to folks that it's in their interest to say, it’s a high market share, say, hydrogen is like 1% then. But hydrogen is still on the radar so as the natural gas of different forms. I mean, all of those things have to be thought about and considered, and we're doing just that. But I really want to first have this person on board and give them a short window. And the couple of finalists’ candidates already have pretty strong views. They’ve already studied the company quite a bit during our process and already have developed pretty strong views. I want them just to have a chance to be on-boarded, getting here. And probably our next earnings call, I'm hopeful, I would have a pretty crisp answer for you, and I feel comfortable in doing that at that point. But it's hard to imagine electric charging will not be on our sites and sort of for the heavier duty stuff in sort of a material way as we move forward. It's hard to imagine that not happening.
Bryan Maher: Great. Thanks, Jonathan.
Jonathan Pertchik: Thanks for that question, Bryan.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Jon Pertchik for any closing remarks. Please go ahead, sir.
Jonathan Pertchik: Again, thank you for your interest in TA and your attention this morning and everybody have a great day. Bye-bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.